Operator: The broadcast is now starting. All attendees are in listen-only mode.
Cameron Donahue: Good afternoon, everyone. Thank you for joining us. Hosting the call today is Simulations Plus' CEO, Shawn O'Connor; and the company's CFO, John Kneisel. Before beginning, I would like to remind everyone that with the exception of historical information, the matters discussed in this presentation are forward-looking statements that involve a number of risks and uncertainties. The actual results of the company could differ significantly from those statements. Factors that can cause or contribute to such differences include, but are not limited to, continued demand for the company's products, competitive factors, the company's ability to finance future growth, the company's ability to produce and market new products on a timely fashion, the company's ability to continue to attract and retain skilled personnel, and the company's ability to sustain or improve the current levels of productivity. Further information of the company's risk factors is contained in the company's quarterly and annual reports and filed with the Securities and Exchange Commission. With that, I would like to turn the call over to Shawn O'Connor. Shawn?
Shawn O'Connor: Thank you, Cameron. This was a strong start to what we expect to be another record year for Simulations Plus. We continued our long tradition of profitable growth and returning capital to shareholders. We delivered a record $7.5 million in revenue for the first quarter, up 6.6% compared to the same quarter in the prior fiscal year. Our software revenue growth was strong for the quarter at 10%, versus the same period last year. Our consulting revenues were up 3% for the quarter compared to last year, constrained by resource capacity and two key project initiatives that slipped out of the quarter. Overall, our 6.6% revenue growth in the first quarter of 2019 is in line with our historical annual revenue growth in the 10% to 15% range on an annual basis. The two key project initiations I referred to are both in our DILIsym division. The first, our RENAsym project that is funded by the previously announced $1.7 million SBIR grant completed its Phase 1 effort during the quarter, at which point review of the effort was required before initiating Phase 2. Work effort was suspended awaiting Phase 2 approval, which was not received until after quarter end. Phase 2, which includes $0.9 million of funding for 2019, has now been initiated and is fully staffed. The second is a new contract with a large pharmaceutical company that closed just recently. Under this agreement, DILIsym will develop a QSP model that will provide the ability to predict efficacy of drugs being developed to treat idiopathic pulmonary fibrosis. The development is funded by our large pharmaceutical company partner for up to $2.7 million over the next two-plus year timeframe. Upon completion, DILIsym will retain the rights to the model to market on a software licensing or consulting service basis to the rest of the industry. We expect this project to contribute significantly to 2019 revenues. Demand for our consulting services remains strong, and these are just two examples of that demand. I spoke last quarter of the challenge in meeting the services demand with the growth of our consulting resources to deliver on these opportunities. We have grown staff 9% year-over-year, and during the quarter brought onboard new staff as well, that new staff historically have a ramp-up time before they become fully billable, and our margins reflected that this quarter, and we continue to seek additional qualified staff to support this side of our business. While software related revenue grew faster than consulting revenues this quarter, our forecast anticipates the consulting revenue growth will outpace software revenues over the course of the full fiscal year. And we have sales pipeline which supports this expectation. First quarter revenue growth was strong in the context of our historical seasonality trends, and we are in line with our historical organic annual growth, in the 10% to 15% range on an annual basis. Our gross margins were slightly up for software revenue, at 79% compared to 78% in the year-ago quarter. But our consulting margins declined to 61% compared to 72% in the year-ago quarter. This decline was due to several factors. The aforementioned ramp up to normal billability levels for new staff, increased CRO costs at DILIsym, increased training revenues at Lancaster, and increased reimbursable client expenses at Cognigen, all of which are lower-than-average service margin revenue components. That said, our consulting margins this quarter are consistent with consulting margins reported for the last three quarters, and do not indicate any significant change in margin expectation for 2019. Our 72% service revenue margin in the first quarter of last year was the highest experienced by the company. We expect service margins for this year to remain at or improve slightly over the last year's service margin on a full-year basis. During the quarter, increases in SG&A expenses were related to increased revenue from international distributors with resulting higher commission expenses as well as increased personnel costs in general. It was a very active quarter with regard to conference attendance and workshop activity. All of these efforts are in support of future revenue growth. And I would expect SG&A expense to normalize towards historical annual rates for 2019. And finally, our investment in R&D spending, while up as a percentage of revenue from last year's first quarter, continue to trend at levels consistent with the last three quarters of fiscal 2018. Bottom line, I believe the first quarter saw success at the top line, and we have initiated several endeavors which will support the full-year outlook for the company. Turning to our fiscal first quarter results consolidated and by division, consolidated revenues for the quarter reached $7.5 million, with a growth rate of 6.6% year-over-year. The mix of revenues changed slightly with softer revenues up 2%, to 55% of total revenues, and consulting services down slightly to 45% from 47% last year. Net income before taxes was $2 million or 27% of revenue for the quarter, and our earnings per share was $0.09 in Q1 2019. We anticipate these metrics will return closer to historical levels for the year as a whole. We generated $2.6 million in cash from operations for the quarter, and continued to return capital to shareholders through a quarterly dividend. In addition, during this period we paid out $1.6 million in scheduled acquisition payments to DILIsym. The company had cash on hand at the end of the quarter of $9.4 million. At quarter end, the company had 96 employees, representing a 9% increase from the same time last year. Our Lancaster division revenues were up 8% year-over-year, reflecting 7% growth in software, and a 12% increase in consulting services. This division of the company represented 58% of revenues and 74% of EBITDA for the first quarter of 2019. The quarter's revenue breakdown was as follows, 69% renewal, 15% new licenses, and 16% consulting. Software renewal rates followed historical strong trends, at 84% of accounts, and 94% of fees. We continue to enjoy excellent long-term relationships with our customers and benefit from very low churn rates as a result. New license units for the quarter were 210, up 6% year-over-year. We added seven new commercial companies and 20 nonprofit groups this quarter, a new customer meaning either a new company or a completely new geographical division of a current customer. We ended the quarter with a headcount of 40 at Lancaster. Our Buffalo division revenues were up 5% for the quarter year-over-year. This division of the company represented 27% of revenue and 14% of EBITDA for the first quarter of 2019. We acquired three new clients during the quarter, and initiated 14 new projects. The division currently has 31 project proposals outstanding with 26 companies. We ended the quarter with a headcount of 40 in Buffalo. Our DILIsym division revenues were up 1% in the quarter. This division of the company represented 15% of revenue and 12% of EBITDA for the first quarter of 2019. The quarter's revenue breakdown was as follows, 75% DILIsym software and projects, 14% NAFLDsym software and projects, and 11% RENAsym brand. We ended the quarter with a headcount of 16 at RTP. Let me now turn the call over to John to review some detailed financial results. John?
John Kneisel: Thanks, Shawn. The consolidated net revenue for our first quarter of the fiscal year were up 6.6%, as Shawn said, it's approximately $467,000 to $7.5 million, compared to $7.1 for the prior year. By division, Lancaster revenues were up 8% to $4.4 million, Buffalo revenues were up 8% to $2.1 million, and as Shawn said, RTP revenues were slightly up. Consolidated software and software-related revenues were $365,000, just under 10%. The consulting service revenues were up $102,000 or 3.1%. During this quarter, we completed our implementation of the new revenue standard ASC 606, Revenue From Contracts With Customers. This has minimal impact on our current revenue. We expect it may have some impact on the timing of revenue recognition and service revenue margins on certain contracts going forward, but we don't anticipate significant changes to our annual historical service margins due to the minimal number of projects for which the standard change revenue recognition. We used the retrospective method to make the adjustment. This method allows for an adjustment to beginning retained earnings for the effect of the implementation. The total adjustment to retained earnings is about $690,000. A portion of that adjustment will become future revenue over the life of the contract. Gross profit increased slightly, remaining a strong $5.3 million in the first quarter of fiscal -- 2019 for this fiscal quarter, sorry about that. Our cost of sales increased this quarter compared to the prior year due to the growth in labor count, salaries and benefits. That increase accounted for about $307,000. Additional software amortization was about $54,000 and we incurred a $80,000 of direct contract costs; the majority for testing unrelated contracts at our North Carolina division. Gross profit margin for the first quarter of fiscal 2019 was 70.8% compared to 75.4% in the prior year. The decrease was primarily the result of the increased staffing to meet the demands of the modeling and simulation projects that Shawn had spoken about an anticipated growth in this area of our business. SG&A expenses were $2.2 million or 36.1% of revenue for the first quarter of the fiscal year, an increase of $311,000 up 12.9% compared to $2.4 million or $34.1 million of revenue in the first quarter of fiscal year 2018. The increase in SG&A expenses comes somewhat from increase licenses and commissions on sales in Asia that was primarily the result of wage and salary increases when stock comp increased costs of a new full-time CEO, and increased headcount in the divisions as well as higher percentage of G&A allocation as a scientific personnel spent a little bit more time on G&A. These increases were partially offset by decreases in some tradeshow expenses that we saw in the period. Research and development, during the period we incurred $984,000 of R&D costs. Of that amount, we expensed $530,000, which represented about 7% of our revenue, an increase of $168,000 or 46.8% increase over the prior year in the expense portion, which was 5.1% of revenue in the first quarter last year. This increase in the research and development expenses was primarily a result of costs associated with research activities in North Carolina. Income from operations for the first quarter of fiscal '19 was $2.1 million, down $477,000 or 18% compared to $2.6 million in the year ago quarter. This primarily resulted in the increase of labor costs as we've been building staff and investing in R&D projects. Our provision for income taxes was $486,000. It was at an effective rate of 24% in the quarter compared to $801,000 in the prior year. That rate last year was just about 32%. That tax rate decrease was attributable to the new tax act that became effective January 1st of 2018, and those lower taxes have allowed us to invest in the operations of the business. Net income decreased by $180,000 or 10.5% to $1.5 million for the recent quarter compared to $1.7 million in the year ago quarter. On a per-share basis, net income was $0.09 per diluted share this quarter compared to $0.10 the year ago, down $0.01 per share. EBITDA was $2.8 million in the first quarter of '19, down 13.8% compared to $3.2 million in the prior year. Next, turning to slide 10, this is our revenue by quarter. This slide represents our revenue on a quarterly basis that goes back to 2015 through the most recent quarter. It illustrates, really, the seasonality of the business with our third quarter typically being our strongest and a drop-off in the fourth quarter coinciding with the typical shutdown in our clients' purchasing and project activities during the summer months. It also illustrates an unseasonably high growth in the fourth quarter of 2017, which was sourced in from our Buffalo division as well as the first quarter including the results of our RTP division in June of 2017. On the next slide, 11, the view of our income from operations by quarter, and this data again represents the general track record of increases, both the year-over-year, and sequentially through the first and third quarters, with the fourth quarter typically the lightest of the year. Next slide, on net income by quarter, we see a similar pattern, with the third quarter typically being the strongest. We see that the effect of a $1.5 million deferred tax benefit we received last year, as it tends to skew the presentation without calling out that difference. The next slide, 13, diluted earnings per share, as would be expected, follows the tracks of the same pattern of net income. So we look at EBITDA, on slide 14; that also does follow the same metrics as the others. Following on to side 15, this represents our worldwide view of sales. The majority of our revenue is in North America. Now, you can see that Asia and Europe are strongly represented, but we also see them as a growing source of revenue for the company. In slide 16, we provide this chart on a quarterly view of cash and cash outflows for dividends and acquisitions, and the impact of cash balances over the last four years. We've actually put out over $30 million in cash over the last five years. This chart shows the period for the last four years in it. So, beginning in the first quarter in the left side of 15, the blue bars at the bottom, they illustrate a consistent dividend payout. And then beginning in 2018, the Board increased the quarterly dividend payment to $0.06 per share, up from $0.05 per share in those other periods of time. Moving up the chart, the red bar represents cash used for acquisitions. We spent nearly $15 million over the past four to five fiscal years on acquisition -- to acquisition related projects. Most notably, this slide has been our ability to not only to return cash to our shareholders through consistent dividend; we've been able to invest in growth for the future through acquisitions, while maintaining a healthy balance sheet with ample cash. We've had zero borrowed debt, and we continue to increase the value of the company. And just today, with the earnings announcement, we announced our next dividend which the Board voted on, and we will distribute $0.06 a share quarterly dividend payable February 1st. Now, I'll turn the call back to you, Shawn.
Shawn O'Connor: Thank you, John. In summary, this was a solid quarter for Simulations Plus, with good revenue growth reflecting the typical seasonality we have historically experienced. Our revenue outlook is positive, and tracking to our growth expectations for 2019. During the quarter, we initiated efforts to recruit additional staff in support of our service businesses, and invested in our sales and marketing efforts. These investments impacted our expense in this quarter, but will position us well in quarters ahead to achieve anticipated profitable growth. Certain expense lines like R&D will remain higher, but expected revenue growth in coming quarters should move us back towards historic profitability levels as expenses as a percentage of revenues are more in line with historical levels. This was a good start for fiscal 2019. We'll now open the call up for any questions you might have. Cameron?
Q - Cameron Donahue: Thank you, Shawn. [Operator Instructions] I will start off with some of the written questions submitted on the call. Our first question is, for the Lancaster division, what was the revenue renewal rate and how many new licenses were sold for the quarter?
Shawn O'Connor: That was in the prepared speech, I'm just flipping to the page. The renewal rates on accounts were 84%, and on fees were 94%. New accounts for the quarter were 210, which was up 6% from the year-ago quarter.
Cameron Donahue: Thank you. And is the 210 numbers, that's the new accounts for the quarter, I believe that might be the total accounts?
Shawn O'Connor: New license units for the quarter. Yes.
Cameron Donahue: Great. The second question, is the aggregate level of first quarter '19 SG&A and R&D expenses the new baseline going forward or just incremental sequential increases?
Shawn O'Connor: I think if I understand the question right, incremental end of the first quarter here. We've initiated some investments in our service in the organization and the sales and marketing effort. And as revenue steps up in the second, third, and fourth quarter of 2019 on a percentage basis of revenues we will come back in line with historical percentages. SG&A, as an example, stepped up to about 36% in the first quarter. Historically we've been in the 32% to 34% range, and I would anticipate that during the course of the year or for the year as a total, we'll come back to that level. The exception there is R&D expense, which we saw step up midpoint of last year, and that expense level will continue into 2019 at this new percentage of revenue rate.
Cameron Donahue: Thank you. The next question, for the KIWI offering, how is the potential customer pipeline taking shape beyond the current five-year project you're currently implementing?
Shawn O'Connor: We continue to market KIWI in an aggressive but slow pace in the marketplace, as the product is developed with feature functionality that's being funded through our client-funded efforts, that product becomes more functional, more useful in the marketplace. And towards -- at the end of it, with the addition of these features we think it'll be more marketable. It is in the marketplace a very muddy marketplace. And what I mean by that is that there are several offerings of that nature, of the KIWI's purpose, in the marketplace. But probably more importantly, the large pharma companies all have internally developed products that serve these purposes. So, the sales and marketing effort is a two-step process of not only demonstrating the prowess of our product against other competitive products, but also in terms of convincing the large pharma to displace their internally built systems with a third-party piece of software. So, still feel good about the direction that we're headed at this point in time, but the pace is going to be impacted by this two-step process in the marketplace.
Cameron Donahue: Thank you. Your next question, what role should the release of DILIsym Version 8A, which released only two days ago, play into the future growth opportunities?
Shawn O'Connor: I think our release there demonstrates our ability to, on a very rapid-based process, almost annual basis if not better, in some regards deliver new releases out there to our marketplace with new functionality across our products that enhance not only the abilities that are in the hands of our installed base, but has the potential to extend in to multiple hands, new cubicles, new scientists' functionality that they will find useful and support future new sales in those products. This quarter was DILIsym Version 8, and we expect with each quarter a schedule of release of updates to all of our products.
Cameron Donahue: The next question is what percent of staff growth for this year do you anticipate?
Shawn O'Connor: I hesitate to put out a number there. We're aggressively recruiting on the consulting side. Our 9% year-over-year growth experience here in the first quarter is something that we'll be shooting for for the year. It'll be dependant upon our success rate on the recruiting side, but it will be something of that magnitude.
Cameron Donahue: Thank you. The next question is, is there any additional news or updates on the MRI or missile guidance applications?
Shawn O'Connor: I would characterize it that our effort there is still exploratory in terms of utilizing our AI and machine learning technology that is already developed and searching for new applications and new extensions of it, be they in those particular areas or remaining within the life sciences arena. While we are investing some time and effort in that, there is nothing of note to update with this quarter other than progress that we're making in terms of identifying potential opportunities, but too early at this stage to speak to at this point.
Cameron Donahue: Thank you. And our final question today is the big picture question. In your view, how far along is -- and is the acceptance of Simulations' software applications within the drug development process?
Shawn O'Connor: In general, and globally, the adoption is there conceptually in the implementation of model-based drug development, and the marketplace is moving rapidly forward. And while we've seen some great success across the industry over the last number of years, we're very early stages in terms of the depth of its penetration and fullness of its application. Specifically, with regard to our offerings in the marketplace, you know, we have reported in the past, the evaluations that we've done in terms of the penetration of our products, and those have always worked out to be of 20% or thereabout penetration in terms of the number of scientists that potentially could make use of GastroPlus as an example. So, both as a industry as a whole, and specifically with regard to Simulations Plus, model-based drug development is accepted and the implementation process has begun and our clients in the marketplace in general are moving rapidly to do so. But I would say that we are still in the early stages of seeing it being fully implemented, if you will.
Cameron Donahue: Thank you. That concludes the Q&A session. One final note before the end, Shawn O'Connor, SLP's CEO will also be presenting at the Needham Conference next Wednesday, the 16th. This concludes today's conference call and Webinar. If you missed any part of today's presentation, the replay will be available at our Web site, www.simulations-plus.com. Thank you.